Operator: Good day, and thank you for standing by, and welcome to CCC Intelligent Solutions' Third Quarter Fiscal 2024 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Bill Warmington, Vice President of Investor Relations. Please go ahead.
William Warmington: Thank you, operator. Good afternoon, and thank you all for joining us today to review CCC's third quarter 2024 financial results, which we announced in the press release issued following the close of the market today. Joining me on the call are Githesh Ramamurthy, CCC's Chairman and CEO; and Brian Herb, CCC's CFO. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that may cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed, and the earnings release is available on our Investor Relations website and under the heading Risk Factors in our 2023 annual report on Form 10-K filed with the SEC. Further, these comments and the Q&A that follows are copyrighted today by CCC Intelligent Solutions Holdings Inc. Any recording, retransmission or reproduction or other use of the same for profit or otherwise without prior consent of CCC is prohibited and a violation of United States copyright and other laws. Additionally, while we will provide a transcript of portions of this call and we've approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in the transcripts. Please note that the discussion on today's call includes certain non-GAAP financial measures as defined by the SEC. The company believes these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends relating to the company's financial condition and the results of operations. A reconciliation of GAAP to non-GAAP measures is available in our earnings release that is available on our Investor Relations website. Thank you.  And now I'll turn the call over to Githesh.
Githesh Ramamurthy: Thank you, Bill, and thanks to all of you for joining us today. I'm pleased to report that CCC delivered another quarter of strong financial performance. The third quarter of 2024, CCC's total revenue was $238 million, up 8% year-over-year and slightly above our guidance range. As a reminder, in Q3 of last year, growth benefited by 1% from incremental onetime revenue on a subscription contract. Adjusted EBITDA for the quarter was $102 million, up 9% year-over-year and ahead of our guidance range. Our adjusted EBITDA margin was 43%, up approximately 60 basis points year-over-year. Our solid performance in Q3 and year-to-date demonstrates our durable revenue growth and margin expansion, driven by multiple new business wins, renewals and contract expansions across our customer groups. While we are pleased with our consistently strong financial performance, we are even more excited about the value creation customers are realizing from our next generation of solutions. This is the foundation for the next leg of growth for CCC. In today's call, I'd like to cover 3 themes. The first is how paradigm shifts, step change improvements and technology capabilities propelled transformation across the P&C insurance economy. The second is why CCC is uniquely well positioned to power the next transition. And third is the adoption of CCC's new generation of high-impact solutions. But looking back over the company's history, a key tenet of our durable growth model has been our ability to identify, invest ahead of and capitalize on technology paradigm shifts across the P&C insurance economy. 20 years ago, our investments in Internet and cloud-based architectures preceded and helped enable the industry's transition to platforms and dramatically more dynamic and connected operations. The subsequent rollout of CCC ONE for collision repairers also helped to power the emerging class of multi-store operators who have benefited over many years from the scale of our highly integrated best-in-class platform. Over the past decade, our investments in advanced solutions on top of these architectures enabled customers to realize further game changing improvements in efficiency and customer service. For example, our investments in mobile, ahead of COVID-19 made it possible for the industry to keep processing claims and repairs when remote work became essential. And today, over 100 insurers and thousands of collision repairers use these tools in their daily operations. And critically, we have consistently helped our customers navigate these transitions through already established CCC integrations and workflows without having to replace their existing systems. I believe we are at the beginning of an even more transformational shift that we call Intelligent Experience, or IX for short, that combines artificial intelligence an event-based architecture and the connectivity of our multisided network to help our customers achieve a step change improvement in operating performance and consumer experience. We believe macro industry forces make adoption of an IX-based approach by the P&C insurance economy essential for 2 primary reasons. The first is the pervasive and accelerating amount of complexity facing the industry whether that is vehicle complexity, data proliferation, changing consumer expectations or other forces. These dynamics are impacting all participants in the P&C insurance economy and challenge even the most experienced professionals. The second is industry-wide labor shortages that are being made even more acute by the ongoing retirement of the industry's most tenured people. As a result, every month, the burden on an already strained industry and newer workers grows. We believe this trend is unsustainable and can only be solved by embracing new IX-driven approaches to technology that deliver a transformational impact. As in previous waves, we have been investing ahead of the curve in key technologies that are essential to the IX era, over $150 million in R&D annually and well over $1 billion in the past decade. The first of these technologies is AI, where, over the past decade, we have built deep expertise in building and deploying AI solutions for high-value mission-critical use cases. These solutions leverage hyperscale, hyperlocal data and can be seamlessly integrated into our customers' existing workflows. They've also been tested at scale by some of the world's most sophisticated customers when it comes to performance. AI is now an 8-figure business for CCC. And while these solutions have already been used across tens of millions of claims with aggregate value in the billions of dollars, we believe that we are still just scratching the surface of what is possible from deploying AI across all aspects of the P&C insurance economy. The second key technology we've been investing is our new event-driven architecture powering the CCC IX cloud. Think of this architecture as the distribution system for AI-enabled workflows. The architecture can handle massive amounts of data from multiple sources in real time. It uses a publish and subscribe model, which enables everyone in our 35,000-plus company network to set up notifications for relevant business events and also to configure actions based on those events using AI. Important business event notifications might include, depending on the customer and their place within the P&C insurance economy, estimate complete, parts ordered, vehicle ready for pickup. Today, these notifications may take place ad hoc through bilateral connections or even by phone or e-mail. With the CCC IX Cloud, they can take place instantly and simultaneously across our connected ecosystem. The CCC IX Cloud is a powerful accelerant for clients to achieve a step change improvement in speed, efficiency and performance. Implementation of the event-based architecture is streamlined because it is an internal layer that overlays onto existing CCC cloud applications, customer workflows and integrations with customer and partner systems. IX Cloud enables customers to deploy CCC solutions faster and easier and increases the number of ways customers can use multiple CCC solutions together. This further extends the value of the CCC network to our customers, whether that customer is an insurer, collision repairer, auto manufacturer, parts supplier, dealer, medical provider among others. We have been supplementing these technology investments with additional activities that increase our ability to support customers on their transformation journey. These include the completion of our transition to the public cloud as well as changes we've made to streamline our customer-facing organizations so we can be an even stronger partner to our customers as they deploy our high-impact solutions and transform their operations. I would like to turn next to the progress of our newer products. We remain very excited about the growth opportunity from our emerging solutions. And this portfolio of products continues to be the fastest-growing part of CCC with additional customer contract wins and momentum each quarter. While the pipeline for these solutions continues to build backed by strong demonstrated ROI and feedback from customers, the velocity of revenue conversion from these new solutions remains slower than anticipated, consistent with what we described last quarter as clients continue to navigate their internal change management processes to fully realize the benefits of these transformative solutions. The main reason customers are enthusiastic about our innovation portfolio is the bottom line ROI these solutions deliver and I thought I'd share some select examples of how we're doing that by bringing intelligent experiences to life for customers. I'll start with First Look, our AI tool for claim handlers. As a reminder, First Look applies a variety of AI models to photos that insurers receive from consumers, repairers and a variety of other sources. One top 10 insurer piloting First Look has been using it to improve claims triage, for example, by more quickly identifying likely total losses sitting at repair facilities. Early results for this insurer have shown an average cycle time improvement of 3 days to redirect such claims, reducing rental and storage fees, freeing up space in their repair facility for repairable vehicles, and overall, providing a faster and more satisfying resolution for the consumer. We're also seeing strong early results from Intelligent Reinspection, which uses AI to help insurers streamline the review of incoming repair facility estimates. Insurers receive millions of such estimates each year and Intelligent Reinspection helps reinspectors review increasingly complex estimates quickly, shortening the time to approval. We have multiple top 20 insurers piloting the product, and the results show a substantial increase in operating efficiency. Rounding out insurance, our AI-powered subrogation solution continues to build on the momentum from previous quarters with double-digit percentage increases from Q2 to Q3 in the number of files reviewed and in customer value delivered from the tool. Our pipeline in subrogation is strong and the feedback from contracted customers has been very positive. For repair facility clients, we are seeing increased adoption of our intelligent estimating solution for shops, Mobile Jumpstart. About 45% of repair estimates are written by technicians and repair facilities. Jumpstart uses AI to dramatically reduce the time it takes technicians to generate an initial estimate, from half an hour to about 90 seconds. We now have thousands of repair facilities generating hundreds of thousands of estimates using Jumpstart. This is helping labor-challenged collision repairers get vehicles repaired and back on the road faster, providing a win to repair facilities, consumers and insurers and also helping to positively impact the approximately 2 billion days that elapse every year between auto claims being opened and closed. On our last earnings call, I mentioned the recent launch of CCC Build Sheets, the CCC ONE add-on that provides collision repairers with data that automatically identifies vehicle-specific packages, paint codes and parts based on how that vehicle was manufactured. This solution helps repairers more precisely identify the vehicle and also reduces manual effort, resulting in fewer parts ordering errors and shorter cycle times. Since the product was introduced in July, we have signed up over 2,000 repair facilities, the fastest adoption rate of any repair facility product in CCC's history. We also recently launched another exciting product extension, CCC Payroll. This solution further expands the breadth of CCC ONE as the operating system for repair facilities. By extending our traditional strengths in the front office and repair operations to the back office, CCC ONE already calculates billions of dollars of gross pay for hundreds of thousands of collision repair employees each year. And with CCC, we have established a complete end-to-end payroll solution for the collision repair industry. This differentiated solution addresses piece rates, commissions, incentives and other factors inherent to the collision repair industry and is fully integrated into CCC ONE. The product is now live, with 100% of our early pilot customers converting to paying customers. And we also see potential for a variety of other new category extensions beyond Payroll going forward. We believe that the next paradigm shift of technology transformation for the P&C insurance economy has begun and that CCC is well positioned to help our clients navigate this journey. By combining our multisided network with our AI capabilities and IX Cloud platform, we believe we can continue to deliver high-ROI solutions for our customers that solve their most pressing problems. And we are investing accordingly to capitalize on this generational opportunity. While the velocity of our new products' contribution to revenue is taking longer than we initially expected, we believe this is a timing issue driven by the pacing of each client's digital transformation journey, and we remain confident in our ability to deliver our strategic and financial objectives over the near and long term. I will now turn the call over to Brian, who will walk you through our results in more detail.
Brian Herb: We provide a reconciliation of GAAP to non-GAAP metrics in our press release. Adjusted gross profit in the quarter was $186 million. Adjusted gross profit margin was 78%, which was flat sequentially and year-over-year. Overall, we feel good about the operating leverage and the scalability of our business model and our ability to deliver against our long-term adjusted gross profit margin of 80%. In terms of expenses, adjusted operating expense in Q3 2024 was $95 million, which is up 6% year-over-year. This was mainly driven by higher IT-related expenses and the timing of professional services costs. Adjusted EBITDA for the quarter was $102 million, up 9% year-over-year with an adjusted EBITDA margin of 43%. Q3 adjusted EBITDA had some phasing benefit as some expenses shifted from Q3 into Q4. Now turning to the balance sheet and cash flow. We ended the quarter with $286 million in cash and cash equivalents and $778 million of debt. At the end of the quarter, our net leverage was 1.3x adjusted EBITDA. Free cash flow in Q3 was $49 million compared to $46 million in the prior year period. Free cash flow on a trailing 12-month basis was $200 million, which is up 4% year-over-year. Our trailing 12-month free cash flow margin as of Q3 2024 was 22%, down modestly from 23% as of Q3 a year ago. We did have some modest impact to the timing of receivables for a few of our larger clients. The significant balances have already been collected in October. Unlevered free cash flow in Q3 was $61 million or approximately 60% of our adjusted EBITDA. While our level of free cash flow can vary quarter-to-quarter, we expect it to continue to average out in the low to mid-60% range of our adjusted EBITDA on an annual basis. I'll now discuss guidance beginning in Q4 2024. We expect revenue between $242.5 million to $246.5 million, which represents 7% growth year-over-year at the midpoint. We expect adjusted EBITDA of $103 million to $105 million, a 43% adjusted EBITDA margin at the midpoint. For the full year 2024, we expect total revenue of $941 million to $945 million, which is 9% year-over-year growth and is unchanged versus our previous range. For adjusted EBITDA, we are raising the full year 2024 range to $394 million to $396 million, a $2 million increase at the midpoint. The midpoint of our new guidance range represents about 110 basis points of year-over-year expansion in adjusted EBITDA margin to 42% for 2024. So 3 things to keep in mind as you think about our Q4 and full year guidance of 2024. The first point is, as we mentioned in our call in February of this year, Q4 2023 revenue growth had about 1 point of benefit from onetime items and year-end true-ups above our contractual commitments on subscription contracts, which gives us a more difficult year-over-year comp for us in Q4 of this year. The second point is, as I referred to earlier, we have seen some softness in claim volume during this year. About 20% of our revenue has transactional volume components. Year-to-date through September, we estimate clean volumes are down approximately 6% year-over-year, implying about a 1 point headwind of revenue growth, though that can vary depending on solution and client mix. The third consideration is that the midpoint of our updated guidance implies an adjusted EBITDA margin of about 43% in Q4 and about 42% for the full year 2024. Consistent with our past performance, we expect Q4 to represent the peak margin for the year. As such, we expect the starting point for next year's margin expansion will be on the full year 2024 margin of 42%. Also, as a reminder, in Q4 of 2023, we benefited from a $3 million onetime insurance claim reimbursement, which we expect to create a 1 percentage point margin impact as we lap this in Q4 of this year. So as we wrap up, I would highlight our continued confidence in our ability to deliver our long-term target of 7% to 10% organic revenue growth and mid-40s adjusted EBITDA margin as we continue to execute on our strategic priorities and generate significant value for both our customers and our shareholders. With that, operator, we're now ready to take questions.
Operator: [Operator Instructions] And our first question comes from Kirk Materne from Evercore ISI.
S. Kirk Materne: Congrats on the quarter. Githesh, I was wondering, can you just talk about what you think needs to happen to sort of unstick the bottleneck in terms of some of the adoption of your newer products? Is there anything either at a macro level or industry level that needs to happen? Or are there things that you can do to sort of grease the skids, if you will, just if you're thinking -- as we start thinking about 2025?
Githesh Ramamurthy: Sure.  First and foremost, if you look back over the last 20-plus years, we've rolled out $1 billion of product, which is essentially new, right? So we've been through waves of adoption. And it almost always comes down to 3 very specific things: a, first and foremost, it takes a substantial amount of energy from our customers to pilot, to look at new workflows, to put these new solutions in play, make sure they are being tested, compute, calculate the ROI of these solutions and then think through what does it take to really implement them. And on that score, when I look at those 3 metrics, for all of these new solutions, we're making very, very good progress. And I think what we see is as customers start to roll out like, for example, when you look at even solutions like Estimate-STP that we've talked about before, we've gone from 3% last quarter to 4% adoption. So I think this is -- so it's the consistency of working through those, and we are very engaged, very focused with each of our customers in multiple pilots just working through it.  So just the...
S. Kirk Materne: And then, Brian...
Githesh Ramamurthy: Yes, go ahead.
S. Kirk Materne: I was just going to say, as a sort of a follow-up for Brian or you, Githesh, just on the softness in claim volume this year, one of the things you guys have talked about historically has been that while claims can go up and down, the cost per claim is going up as the complexity of vehicles. Does that factor in at all as you talk to customers going forward, meaning if claim volume were to remain a little bit depressed, is there an opportunity to go back to talk about the broader value as contracts renew just to get away from some of the variability of that?
Githesh Ramamurthy: Sure.  So first of all, we've seen these cycles go up and down. And as we talk to a lot of our customers, what we're seeing is that the number of -- if you look at vehicle miles driven, you look at the number of accidents, we don't think there's a material change. At least more importantly, our customers don't think there's a material change. What is happening is that if you look over the last 18 months or so, as cost of insurance, the premiums have gone up substantially higher than CPI. Whether you take CPI or core CPI, cost of insurance has gone up significantly. And there's a certain amount of reluctance to file claims that says, hey, I could get a price increase or something, and we think we're about 18 months into that cycle. And at least the belief from our customers and what we see is that will even itself out as you go forward in another quarter or 2. So we are not factoring any material increases in claim frequency. And the most important thing for us is really the breadth of the solutions we have because every claim has many different components to it. And so it's the breadth of the solutions that we're delivering that we're focused on.
Operator: [Operator Instructions] And our next question comes from Michael Funk from Bank of America.
Michael Funk: One for you Githesh, along the lines of the first question. Are you contemplating or planning any changes in how you either sell to your customers or helping with onboarding to increase the conversion rate of the emerging solutions? Or would that not be impactful in your view?
Githesh Ramamurthy: What we are doing is we've aligned our client-facing organizations to be -- to put a little more energy in terms of the number of pilots and the number of solutions we are working with customers. And it is -- we believe it's a matter of time as these solutions get rolled out. We're seeing that with early customers who are seeing tremendous ROI. And we're working closer with customers, but at the same time, I would just say, the volume of pilots that we're experiencing across all our new solutions is significantly higher, and so we feel very good about the pipeline of customers. So it is customer specific. It is customer specific. It is customer specific. It's not a macro issue in any way, shape or form.
Michael Funk: Okay.  And that's my second question, Githesh. Heard from a number partners and resellers, there is some caution or pause in front of the election. Any sense that there's any pause in your customers in front of the election given some of the uncertainty around tax and other factors?
Githesh Ramamurthy: No, we don't believe it's a macro issue. We don't see any macro issues. In fact, many of our customers that report publicly are seeing the highest levels of profit and they also know that this is the time to really prepare to put the next generation of solutions in place. As -- when you look at the insurance industry over any period of time, these cycles can be very, very tight. You can have a cycle where things are looking very good, and then you can have a cycle where profitability is under a lot of pressure.
Operator: And our next question comes from Dylan Becker from William Blair.
Dylan Becker: Maybe, Githesh, you touched on it quite a bit in your prepared remarks around kind of the interoperability and integration of IX Cloud with your existing kind of data network. It feels like that has the potential to be a notable amplifier of kind of that value proposition for some of these customers that are running these pilots. So I guess how are you thinking about that impact and that dynamic on ROI versus kind of the change management and the internal focus that might be a little bit less out of your control as you've kind of talked to as well here?
Githesh Ramamurthy: Yes.  So what we are seeing is with IX Cloud, customers are looking at sometimes multiple solutions at the same time. For example, a customer might be putting in First Look, Intelligent Reinspection, Subro and Casualty in different parts of the organization, piloting multiple solutions at the same time. And there's an efficiency that comes about when you do multiple solutions and the -- exactly as you pointed out, the interoperability of these solutions is super helpful. So I would say it varies client to client in terms of the value. But at the heart of it, we look at the ROI for every individual solutions and we look at the aggregate ROI, and so far, the results that we see are -- absolutely been terrific. And I look at this from a 20-plus years of delivering solutions to this industry, and we feel very good about the value that's being delivered.
Dylan Becker: Okay.  Great.  That makes sense.  And then if we think about it from like an industry perspective as well, too, Githesh, a question I get somewhat frequently as well, too, is on the impact of with this kind of hardening environment, the impact then shifts from -- towards total loss from repairs. Can you kind of walk us through the nuance maybe relative to those 2? It feels like it kicks off in and of itself additional kind of workloads and processes, maybe brings other solutions to the conversation that weren't as readily addressable on the repair side. But how should we think about kind of that trend of what we're seeing relative to total loss versus the repair side?
Githesh Ramamurthy: Yes, sure.  Let me comment on that. So at the peak, I would say, about 6 quarters ago, we saw total loss values of -- that is the cost it takes to settle a total loss, peak at a little over $16,000, $16,500 or so. What we have seen since then as used car valuations have dropped, we track this very, very closely because of the accuracy we need to maintain, we're seeing used car valuations, and therefore, total loss values are now down in the 14% range. So what this has meant is that there's been a slight increase in the number of vehicles that are totaled. So if you look at the shift between repairable vehicles and total losses, that used to be 79-21, and so we've seen a small shift in that going to probably like a 76-24. But at the same time, there's 2 or 3 other variables that come into play, which is newer vehicles, as they come onstream, are also a lot more expensive to repair. So we have seen a slight increase in total losses and maybe a slight decrease in repairables. But by and large, this is where customers -- solutions like First Look become extraordinarily important because you don't want a vehicle that is a total sitting at a repair facility too long. You need to be able to take that out pretty quickly using photo and AI. So the accuracy of making these decisions becomes even more critical. So some of our solutions like our First Notice of Loss, our Predictive Analytics tool at the front end that helps you decide which way to go, so it is causing customers to really think through holistically how you look at all of these pieces together as opposed to -- because of this dynamic nature.
Operator: And our next question comes from Gabriela Borges from Goldman Sachs.
Gabriela Borges: Brian and Githesh, I'm trying to reconcile your comments on emerging solutions adoption and NRR with some of the deceleration that we're seeing more broadly in the business. So if we look year-over-year, there's about a 3 point deceleration in total growth for the CCC. There's about a 1 point impact as best we can tell from NRR. So it looks a little bit like the new business dynamics are slowing as well. So maybe just talk to that a little bit. Are you seeing a slowdown in new business dynamics? And how do you think about that piece of the business given all the commentary you already provided on the cross-sell piece?
Brian Herb: Gabriela, it's Brian. Yes, I'll be happy to take that. So first thing I would highlight is our guide for the full year is 9%, which is in the range and at the high end of our long-term range. When you think about the point you're making around what growth has done, there's kind of 3 factors that are playing into the second half and into Q4. First, we have tougher comps as we're into the second half. So we had 1 point that we highlighted in Q3. There's another point in Q4 that we highlighted that's a headwind. So we are facing into tougher comps in the second half. The second point is the volume that is -- we're seeing softness. We talked about volume being down about 6 points on claim volume overall, and that drives about a point of headwind for us as well. And then the third point I'd highlight is it's just timing of deals and flow of deals. And quarter-to-quarter, those can move around a bit. One quarter, they can be strong. Another quarter, they can be a bit weaker. So we really focus on long term and the full year position. So quarter-to-quarter, deal flow can have an impact. But just to give some size, when you look at Q4 and you think about sequential growth over Q3, we're looking about 2.5 points of growth. And you compare that with the last 2 Q4s, so what we did in '23, what we did in '22, and it's broadly the same. It's been around 2.5 or 3 points of growth. So just sizing the Q4 and kind of sequential growth is broadly consistent.
Operator: And our next question comes from Josh Baer from Morgan Stanley.
Josh Baer: One for Githesh, one for Brian. For Githesh, just hoping you could take us through a typical time line for a customer that was an early adopter of like Estimate-STP or some of your other AI products that's already made it through the piloting, the testing, the implementation, like hoping to generalize how much time will it take from this building pipeline to really convert over to revenue.
Githesh Ramamurthy: Yes.  So for Estimate-STP in particular, there's a slight difference because the first 6 or 8 quarters, we were very deliberate in that we only allowed you to process front-end hits, back-end hits. So we gradually increased the number of vehicle types you could process. It wasn't until about 4 or 6 quarters ago that we opened the door and said SUVs, you could process every type of vehicle. So if you look at the true starting point for Estimate-STP, call it, 4 to 6 quarters ago, we have customers who range from about, I would say, 3%, 4% using photo, AI and Estimate-STP to some customers who are as high as 60%. And so there's a broad variation as people get comfortable, test this out in various locations, make sure that the accuracy, the performance is there. So we see a pretty wide range. I think last quarter, we highlighted that 1 customer would roll out a top 10 carrier to now to 20-plus percent of their claims. In their case, after it was in full production, it took them about 3, 4 quarters to get fully up ramped and comfortable to roll it out.  So it varies.  Nonstandard customers tend to move faster than standard insurance customers. So that's what we see in the data, but -- so it varies by solution, but on general, a couple of quarters.
Josh Baer: Okay.  Great.  And then, Brian, just wondering, like we had the implied Q4 guidance from last quarter. So Q4 was lowered by about $2.5 million. I just wanted to clarify, was that -- like versus 90 days ago, was that all the softness in the claims that you're talking about? Or were there any other changes that popped up in the last 90 days?
Brian Herb: Josh, I mean, for the full year, we kept the guide at the full year position from where we were last time to 9%. So we had a similar range of $941 million to $946 million. So that's consistent. Yes, there's been just -- as I highlighted to the previous question, there's just some moving parts as we think about the year-end and how that's going to play through. You have the true-ups, which are harder to forecast. We talked about the harder, more difficult comp that's playing through. We have the volume weakness that's been moving around quarter-over-quarter. And then there's just the deal flow, what's going to close off the pipeline this year versus falling into next year. So all those are factoring into the guide. But I would put a point back to the full year position is consistent with where we've been when we talked 90 days ago.
Operator: And our next question comes from Samad Samana from Jefferies.
Samad Samana: Maybe first, appreciate the color on the claim volume and kind of the related sensitivity. Could you just maybe help us think about are you expecting volumes to kind of persist at this like tracking down 6% levels going forward? Are you expecting them to rebound? Like what have you embedded? And I know it's a couple of months away from 2025. But are you thinking that we should think about volumes at this kind of like lower level? Or are you expecting a rebound? Just maybe help us understand how we should think about that.
Brian Herb: Yes, sure.  Samad, it's Brian.  So the way that we're looking at forecast for claims, they have been bouncing around a bit.  Q1 was soft.  Q2 improved a bit, and then Q3 was softer again, which gets you to the 6% down year-to-date. As Githesh said, based on what is driving the claim or our view of the claim fluctuation, this is not a permanent trend, and we do think it will change over time. That said, we are not changing because we don't know when that recovery will happen. We're not changing our forecast. We're not assuming that claims get softer, but we're also not assuming that they're going to recover. So Q4 is factoring in similar levels. And then we're factoring in similar levels in '25 at kind of a baseline level. So that's how we're thinking about the claim volume and how it will play through the forecast.
Samad Samana: Great.  And then maybe just as a follow-up, when you guys made the changes to the kind of the customer service organization or customer-facing side of the organization, like how have you thought about the impact of that? And how should we think about that maybe flowing through to the business as we look forward?
Brian Herb: Yes.  So it's Brian.  I'll start and let Githesh add some color. So clearly, we're setting the organization up for what we believe will be successful and the best way to engage with our clients. And so having one customer-facing organization, bringing both client services and our sales organizations together, we think will give a more seamless interaction with our clients. We do believe it will improve the velocity of our sales. We also have brought in product sellers, which was a recent investment that we brought into the organization, especially to help with these newer solutions with people that have expertise in these areas. And they're certainly having an impact as we built the pipeline on our engagement with clients. But that's how we're thinking about the organizational changes and the setup for next year.
Githesh Ramamurthy: Yes.  Fundamentally, what we're doing is to make sure that our organization reflects the product architecture that we talked about. And that's really what we're doing because more and more of these solutions are deeply interconnected with each other, and that's why we're making these changes.
Operator: And our next question comes from Saket Kalia from Barclays.
Saket Kalia: A lot of my questions have been answered, so I'll keep it to one. Brian, maybe for you. I've gotten the question from a couple of investors on just the impact of hurricanes here. Now of course, that's going to be much more impactful to home insurers. But unfortunately, those events tend to also have a lot of auto claims, right, during those big storms. So just to make sure the question is asked, right, in the wake of some of these storms recently, can you just talk to us a little bit about what sort of impact that sort of -- that is having this year if any? And maybe just give us some historical perspective to it as well as we just think about this kind of going forward?
Brian Herb: Sure.  Yes, I can take it, Saket. So as a reminder, when you think about our revenue streams, 80% of the business is subscription and 20% is transactional or has volume-based. And it really comes into 3 places, the volume. So one is our casualty solutions. There's a part of our -- or component of our parts business that's transactional. And then there is a portion that relates to our auto physical damage client base. But those, for the most part, are going to be your smaller regional carriers that are paying volume versus the large nationals. So that's how the revenue breaks out. As far as the hurricanes, the volumes we have seen to date have not been material and are not really moving the number. It really matters on the client mix. Some of our clients are in all-you-can eat transaction -- or I'm sorry, all-you-can-eat flat fees, and so the excess volume doesn't necessarily play through their numbers. Others, it will play through, depending on if they're paying transaction or have transactional components of their agreement. So mix really matters as well. But I would tell you, to date, the hurricanes that we've seen, although significant for the carriers and impact have not been a material part of what we're seeing in our volumes.
Saket Kalia: Super helpful.  Sorry, Githesh, please, if there was something you wanted to add.
Githesh Ramamurthy: Sure.  Also historically, because it really does affect people locally in each region but when you look on a national basis, it's still a relatively -- it doesn't shift the overall national posture.
Operator: And our next question comes from Alexei Gogolev from JPMorgan.
Elyse Kanner: This is Elyse Kanner on for Alexei Gogolev. My question was  could you elaborate on why SBC as a percentage of revenue grew slightly sequentially to 18%. And can you reiterate what the outlook for SBC as a percentage of revenue is for next year?
Brian Herb: Yes, this is Brian.  Happy to do that.  Yes.  So it was 18% in the quarter, which is broadly consistent with where it was in Q2, which is slightly down from where it was in Q1. The big driver we're seeing run through is there is a modification in the TSR. And that modification had a P&L charge of about $70 million. Most of that is running through 2024. So it's got about 6% of impact into our percent -- share-based comp percentage. So that's the real kind of onetime driver. There was no additional units that were attached to the modification. And the modification is detailed out specifically in the proxy. When you think about next year, this modification has largely ran through in 2024. There's a small tail that's in Q1 of '25, but it's not that material. We think about 2025 being more in the 12% to 14% of revenue, and that's the way to think about the model for next year.
Elyse Kanner: Got it.  Very helpful.  And then as a quick follow-up, what are the key challenges you're facing that prevent you from full rollout of outbound subrogation? And are you seeing elongated decision-making even around inbound subrogation product adoption?
Githesh Ramamurthy: Yes.  I would say inbound subrogation is a lot easier because of all the existing integrations that are already in place. Outbound requires a little more complexity, a little more integration. So we have been more focused on inbound subrogation across the board. And we're seeing significantly increased volumes like we said from -- as we went from Q2 to Q3, we've seen double-digit increases in the number of files processed, a pretty large pipeline of customers. And we are focused much more on inbound subrogation first and in the early stages of implementation for outbound. Outbound does have a little more complexity.
Operator: And our next question comes from Chris Moore from CJS Securities.
Christopher Moore: Most answered.  I just wanted to from a modeling standpoint. Obviously, you got some unusual model. You're able to continue to invest heavily in R&D, still expand margins. It's been roughly -- R&D roughly in the 20% range these last few quarters. Is that a reasonable place to be moving forward into '25? Or just how should I be thinking about that?
Brian Herb: Chris, it's Brian.  Yes.  So R&D is an area that we put significant investment in. We've added a lot of capacity over the last couple of years really to make sure that we could support the innovation pipeline. So there's a significant amount of capacity that's been built into the system over the previous 2 years. We do expect R&D to continue to grow but at a moderate rate. but that is an area that we continue to invest and invest heavily. So I think as a proxy, your percent of revenue is reasonable for going forward, and it will grow consistent with what it has been this year. So yes, it's a good modeling assumption.
Operator: And our next question comes from Shlomo Rosenbaum from Stifel.
Shlomo Rosenbaum: Githesh and Brian, I was just wondering if the volumes could at all be attributed to market share gains amongst the client base or in specific, Progressive, I believe, has been investing throughout the period the last couple of years or so in terms of getting new clients, whereas a lot of the other insurance companies were not as aggressive because of the rate issue that we've had in all the various states. And I was wondering if you are hearing any of that amongst your clients as one of the reasons why the volumes might be pressured this year. And after that, I have one more question.
Githesh Ramamurthy: Sure.  When you look at the top 10 carriers, most of them are -- almost all of them are customers. What we are seeing is that some of -- some top 10 customers of ours have gained market share. Some have lost market share. So in aggregate, we don't think it's a material difference. When you look at the industry numbers in terms of what we see, there are always some puts and takes, but nothing significant. But we think more of the issue on claim frequency is really more consumer behavior is what we're seeing more than anything.
Shlomo Rosenbaum: Okay.  And then can you give me another -- just an example, when you talk about potential extensions of the payroll system product, that seemed very interesting. We had seen it at your conference in some of the demo of that. And I was just wondering if you could talk about where else you could extend that to.
Githesh Ramamurthy: I think so.  First of all, when you look at the repair market, the payroll in the repair facility market is in the tens of billions of dollars, probably somewhere between $30 billion and $40 billion. And so we are very focused on that, but we also see several other back-office solutions that are on the pipeline that we don't plan to discuss right now. But just as we enter the front office, then we focused on the repair process itself, the back office represents another large opportunity to help streamline. But we haven't detailed those out other than payroll.
Operator: And our next question comes from Gary Prestopino from Barrington.
Gary Prestopino: Brian and Githesh, a couple of questions here, well, first one and then a follow-up. Do you find that with these new products that you've launched, particularly I'll just point out Build Sheets, which I think should save insurers a ton of money given all the different trend levels that cars have, with these newer solutions, since they're driving more efficiencies, are you able to price at a better than 5:1 ratio that you'd often cited as how you price your products?
Brian Herb: Yes.  Gary, it's Brian.  Yes, so a lot of the 5:1 ratio, I mean, we based the products and insurers very clearly on an ROI basis. And we do that, as we've talked about, on a 5:1. These Build Sheets, we're selling into the shops, and so the price dynamic is slightly different. Clearly, it drives a lot of efficiency both for the shops and for the part suppliers. It's eliminating significant returns. And then just lag times in the repair and having to store the car, having it wait for the proper part to be received if they ship the wrong part. So there is a really efficient play here, and it certainly has a strong ROI. But the 5:1 that we've talked about historically has been more on how we price into the carriers.
Gary Prestopino: Well, even with what you're selling to the carriers since you're driving more efficiencies, can you -- are you seeing a step-up there? Or is that something you're not seeing or what?
Brian Herb: Yes.  I mean in general, products have different dynamics. Some will have a better ratio and be 3:1. Others could be 7:1.  It depends.  I mean, certainly, on these newer solutions, the emerging solutions, they're very compelling. They have a very strong ROI. We do think that gives us pricing opportunity. But I think, in general, we still look at a 5:1 ratio as a good rule of thumb of how we price our products and the value it drives for our customers.
Gary Prestopino: Okay.  And then getting back to this claims drip down decline. Githesh, it sounds like it's more of an economic issue than anything else. But I guess are you also hearing from your insurance clients that as ADAS proliferates to the car park that, that is also causing a decline in claims in the market?
Githesh Ramamurthy: No.  I think, by and large, what we are seeing is -- what we hear back from customers is distracted driving. And there's a lot of other behaviors that haven't really fundamentally changed. For example, some of the ADAS, while it reduces some front-end impacts, is causing more rear-end impacts because cars can brake suddenly. So that's less of an issue. What we are hearing consistently is consumer behavior from an affordability standpoint and the fear of the risk of having premiums raised. Those are the things we think. And I think we're about 18 months into it. Our customers would say that they expect this to normalize in the next couple of quarters, but we'll see.
Operator: I am showing no further questions. I would now like to turn the call back over to Githesh Ramamurthy, CEO, for closing remarks.
Githesh Ramamurthy: Just on behalf of all of us at CCC, just want to say thank you for joining us. I'd also like to take the opportunity to thank our customers and very importantly, our CCC team members and for -- to our shareholders for the trust and support. And where we sit today, we believe we're at the beginning of a transformational shift towards intelligent experience across the P&C insurance economy and that CCC's investments in a multisided network, AI, our event-based architecture position us well to help our customers capitalize on this transition. And we'll also continue to deliver on our strategic and long-term financial objectives and feel very good about those moving forward. With that, we'll end the call here.  Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
Githesh Ramamurthy: Thank you.
Operator: Thank you, sir.